Operator: Good day, and welcome to the CTS Corporation Third Quarter Earnings Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Kieran O’Sullivan. Please go ahead.
Kieran O’Sullivan: Thank you, Lauren. Good morning, and thank you for joining us today, and welcome to CTS’ third quarter 2019 conference call. Third quarter sales were $115.7 million, down from $118.9 million in the same period last year. In the third quarter, we acquired QTI Sensing Solutions for $75 million, which is consistent with our stated strategy of portfolio diversification. Gross margins were 32% compared to 35.4% in the third quarter of 2018. Adjusted earnings per share were $0.29 compared to $0.39 in the third quarter of last year. We are taking measures designed to improve our performance, which I will discuss shortly. Total booked business increased 2% to $1.86 billion, up from $1.83 billion in the same period last year. Ashish Agrawal, our CFO, is with me for today’s call and will take us through the safe harbor statement. Ashish?
Ashish Agrawal: I would like to remind our listeners that this conference call contains forward-looking statements. These statements are subject to a number of risks and uncertainties that could cause actual results to differ materially from those expressed in the forward-looking statements. Additional information regarding these risks and uncertainties is contained in the press release issued today, and more information can be found in the company’s SEC filings. To the extent that today’s discussion refers to any non-GAAP measures under Regulation G, the required explanations and reconciliations are available in the Investors section of the CTS website. I’ll now turn the discussion back over to our CEO. Kieran?
Kieran O’Sullivan: Thanks, Ashish. In the third quarter of 2019, our sales declined by 2.7% to $115.7 million. Excluding sales from our QTI acquisition, sales declined 5.8%. We experienced softness in our transportation market, primarily driven by weaker demand in actuator products for commercial vehicles. We continued to see softness in our industrial end market as a result of reduced demand in China. Distribution demand continues to be paced by the burn-off of inventories, and we expect this to continue through the first half of 2020. Medical and defense markets performed solidly in the quarter, and we continue to see increased demand as we move forward. We are seeing continued softness in the second half of 2019 and into 2020, especially in transportation markets, where volumes were down across the regions. This was a large factor in our disappointing financial performance in the quarter. Gross margin performance was impacted unfavorably by the onetime gross off of QTI inventory and by a product replacement charge for a transportation product that has been corrected. The operational challenges we highlighted in the second quarter call at our ceramics foundry also impacted our gross margins. Personnel changes and improvement projects are progressing. The total impact was in the range of 300 basis points. We expect the work begun earlier this year to address commodity pricing pressures, low delivery improvements next year as we qualify and add new sources of supply. In addition, we are implementing projects to better align our cost structure to the current market conditions and to improve margins, and operating expenses in the range of $0.03 to $0.04 of EPS in the fourth quarter. The annual impact is expected to be approximately $0.08 to $0.12 at the current revenue levels. We continue to keep a focus on our strategic priorities and our long-term growth initiatives. In the quarter, we converted the European manufacturing site to the new ERP system. We have strong new business wins of $147 million. Total booked business was up 2% year-over-year at $1.86 billion, after a reduction of $55 million to account for softer market conditions as we reduced revenue expectations through 2020 from previously awarded contracts. We added seven new customers in the quarter with applications in the industrial, aerospace and defense, medical and telecom and IT end markets. Three of these new customers were added by our QTI acquisition. We continued to see solid bookings for our throttle sensing module in the Asian market as we ramped up to expected volumes. In Europe, we were awarded a two-wheeler application with a premium OEM. In aerospace and defense, we secured new contracts for sonar rays and sensors and won a contract for RF filters. We received awards for flow measurement transducers and for an ultrasonic tuning application. In automotive, we were awarded multiple large accelerator module contracts with Japanese and North American OEMs. We secured an important position sensor win for a safety application in electric vehicles. In the third quarter, we acquired QTI for $75 million in cash, with an earn-out of up to $5 million if predefined performance objectives are achieved by the end of this year. QTI is a leading designer and manufacturer of high-quality temperature sensors, serving OEMs with mission-critical applications in industrial, aerospace and defense and medical markets. Based in Boise, Idaho and with a location in Tecate, Mexico, QTI has established itself as a leader in temperature sensing technology as evidenced by its extensive product portfolio and long-standing customer relationships. The addition of this talented team provides CTS with a new core sensing technology, expands our sensing product portfolio and builds on our strategy to focus on innovative products that sense, connect and move. We expect that these high-performance products will expand our industrial and medical market sales and strengthen our quality of earnings. While most of QTI sales are in the Americas, once fully integrated, we expect to grow sales in Europe and Asia through our existing footprint and sales team. We also look to improve the product capability by leveraging our expertise in ceramics. As we build out the temperature platform, we also see advanced, next-generation product development opportunities for transportation customers. We do expect the acquisition to be accretive to 2020. We continue to work our M&A pipeline. Our objectives – our growth objectives have not changed, which is 5% through organic growth and 5% through acquisitions. As we have demonstrated, our priority is to evolve and grow our end market scale in medical, industrial and defense and aerospace. We will also continue to invest and advance our product portfolio in light vehicles and commercial vehicle applications. End markets remained challenging in the quarter due to the headwinds in vehicle production, trade disputes impacting industrial sales and high inventories in distribution. As mentioned earlier, in the third quarter, we experienced a softness in demand for our actuator products with application in commercial vehicles. Consistent with industry expectations, we expect this softness to continue into next year. In the second half of next year of 2020, we plan to begin shipments to the second actuator customer in the Asian market. In the third quarter, we saw a small impact from General Motors strike in North America. We also supply General Motors outside of North America, where our business has grown. North American vehicle sales were down 3.6% in September. On-hand days of supply was 65 days, which is slightly above the five-year average. European production for the quarter was down about 1%. The China production was down in the range of 7%. Commercial vehicle production is slowing and is expected to remain soft into 2020. With the addition of QTI Sensing Solutions, we expect the percentage of transportation revenues for CTS to trend downward against total revenues. We remain cautious about market trends over the next 12 to 15 months and are prioritizing our strategic growth opportunities, our M&A pipeline and order intake as we move beyond these near-term challenges. We are carefully managing operational expenses in the fourth quarter and for 2020 and taking the opportunity to objectively review where our resources are deployed for maximum impact. For full year 2019, we are revising our sales guidance to be in the range of $460 million to $470 million and adjusted earnings per share to be in the range of $0.40 to a $0.50. Profitable growth, margin improvement, ERP implementation and the appropriate capital deployment remain priorities for us this year. As we move forward and plan for 2025, we are focused on four areas: our growth and quality of earnings, improving front-end engagement with our customers, accelerating our operational capabilities and building our talent pipeline. At this time, Ashish will take us through the financial performance. Ashish?
Ashish Agrawal: Thank you, Kieran. Third quarter sales were $115.7 million, down 2.7% compared to last year. Sales to transportation customers decreased by 4.8% and sales to other end markets increased by 1%. Excluding sales from QTI, sales to other end markets decreased by 7%, primarily due to continued softness in the industrial end market. Currency rates impacted sales unfavorably by $900,000. The QTI acquisition added $3.7 million in sales over the last two months. We are pleased with the acquisition and the addition of a great team to our company. Our gross margin was 32% for the quarter versus 35.4% in the third quarter of 2018. The decrease in gross margin was driven primarily by a onetime purchase accounting step-up in the value of finished goods inventory from our QTI acquisition, a product replacement charge for a transportation product that has been corrected, material cost and wage increases and execution challenges in our ceramic foundry operation. We have seen improvements in the ceramic foundry operations and expect further improvement in the coming quarter. We achieved approximately $600,000 in savings related to manufacturing transitions and are on track to achieve approximately $4.4 million in savings from the manufacturing transfers in 2019. SG&A and R&D expenses were $24.6 million or 21.3% of sales compared to $25 million or 21% in the third quarter last year. 2019 expenses include incremental operating expenses and intangible amortization related to the QTI acquisition. Overall, these expenses are down compared to third quarter of last year as a result of cost controls and a reduction in short-term incentive compensation expense. We remain focused on managing expenses as we work through challenging market conditions. As Kieran mentioned, we are implementing measures designed to improve gross margin and manage operating expenses. On income taxes, during the quarter, we recorded a net charge of $1.8 million for uncertain tax provision. As we communicated previously, we expect our full year 2019 tax rate to be in the range of 23% to 25%, excluding discrete items. Our third quarter 2019 earnings were $0.08 per diluted share. Adjusted earnings per diluted share were $0.29 compared to $0.39 in the third quarter of last year. Included in the adjusted EPS is an unfavorable impact of $0.03 from the QTI acquisition. Now I’ll discuss the balance sheet and cash flow. Our controllable working capital as a percentage of sales was 15.8% in the third quarter. The increase was driven by the addition of working capital from the QTI acquisition. We generated $16.6 million in operating cash in the third quarter. CapEx was $5.9 million. Year-to-date, we have spent $15.3 million in CapEx. We are carefully managing CapEx in light of the current market condition. We expect our 2019 spend to be in the range of $20 million to $25 million, down from the planned 6% to 8% for the year. Cash flow of $101.2 million at September 30, 2019 compared to $100.9 million at the end of 2018. Our long-term debt balance was $112.7 million at the end of September, up from last quarter due to the acquisition. Our debt-to-capitalization ratio was at 22.2% compared to 11.7% at the end of 2018. During the third quarter, we repurchased 107,000 shares of our stock for $3 million. Year-to-date, we have purchased 287,000 shares of CTS stock. We have $17.5 million remaining under our current repurchase plan. We are continuing our SAP implementation and went live at an additional site in Europe. We now have seven manufacturing locations and two shared service locations live on SAP. Our expectation is to complete the rollout through our remaining sites during 2020, and we will keep you informed of our progress. This concludes our prepared comments. And we’d like to open the line for questions at this time.
Operator: Thank you. [Operator Instructions] And we’ll take our first question from Brian Colley with Stephens.
Brian Colley: Hey, guys, good morning.
Kieran O’Sullivan: Good morning, Brian.
Ashish Agrawal: Good morning, Brian.
Brian Colley: So my first question was just on the guidance. I was wondering if you guys could just talk about how much you expect QTI to impact the top line and EPS in the fourth quarter, just to give us a sense for the organic change in your outlook, and also just what the biggest drivers were to the reduction to the outlook from organic perspective. It sounds like it’s transportation, but just some more color would be helpful.
Kieran O’Sullivan: Yes. So if you look at QTI, you’ll see that the revenue was at $3.7 million for two months, so you can expect that to continue at that run rate. We like the business, it’s very healthy and really complements the end markets where we’re trying to diversify. On the challenging side of it, because we’ve had a tough quarter, it was mainly driven by transportation. And you can see we called out on the commercial vehicle side that the actuators were down high single digits, which was more than – we haven’t seen that at all this year.
Brian Colley: Okay. Got it. And then looking at next year, could you just maybe give us a sense for the impact you expect form QTI from a top line perspective? I guess, what kind of a sentiment lower run rate will impact.
Kieran O’Sullivan: Yes. I think if you just take the run rate this year, you get a sense of an annual rate, and we’d provide full guidance in our next earnings call.
Ashish Agrawal: And Brian, Kieran already mentioned that we are expecting small amount of accretion from the acquisition in 2020.
Brian Colley: Right. I mean, since the magnitude, I mean, modest accretion? Or it’s something, low mid-single digits?
Ashish Agrawal: It will be modest, a few cents.
Brian Colley: Okay. Got it. And then lastly, just based on current end market conditions, what slowdown you’re seeing in transportation, do you think organic growth can still be positive next year? Or should we be thinking something closer to flattish to down?
Kieran O’Sullivan: Yes. We’ll give you good guidance for next year in our next earnings call. What we are saying though is two things. Number one, the commercial vehicle, the actuator product line had strong headwinds this quarter, we think that will continue. When we look at the rest of the transportation portfolio, it still outperforms the market as we said it would.
Brian Colley: Okay. So from a transportation perspective, you think a similar revenue decline run rate kind of looking forward to the medium – near to medium term would be a good assumption there?
Ashish Agrawal: Yes. Brian, when you look at our fourth quarter guidance by implication, we are continuing to see market pressures in that space. And just at a very high level, we are continuing to expect that to continue in the early parts of 2020. And so yes, that will impact us in 2020 as well.
Brian Colley: Okay, got it. I appreciate – yes?
Kieran O’Sullivan: Brian, I just want to bring up one other point. You saw on our total booked business that we made an adjustment of $55 million and still with the strong new business performance, we still grew 2%. And just to give you a bit of color around that, I’m sure there are other questions on phone in relation to that, too, what we do is we get multi-year contracts. So if we have a customer and we’re seeing a softness in sales this year and we’ve got a two-year contract, we take a realistic look at the volumes and make that correction. So we’re pretty conservative in terms of how we manage our backlog.
Brian Colley: Got it. That’s helpful. I appreciate for time given.
Operator: Our next question comes from Karl Ackerman with Cowen and Company.
Karl Ackerman: Hey, good morning, gentlemen. I wanted to go back your outlook for a moment. And if we do see about the contribution of QTI, it would appear core growth is around $455 this year, lower than the outlook you offered at the beginning of the year. But I can understand the headwinds you’re facing in automotive and perhaps to a lesser extent, distribution, but are you seeing increased cancellations as you referenced in your total book to business that is compelling you to have a more cautious outlook? Or are there other factors we should consider in the back half of calendar 2019?
Kieran O’Sullivan: I think, Karl, you’ve covered the transportation and got a sense of where we are with QTI. Distribution, as you know, is a smaller percent of our business, and that’s dependent on the burn-off of inventory. Probably the other challenging piece we’ve had is we’ve got one or two customers, one in particular, where we’ve got – had good revenue, which has been impacted by the China trade implications and lost some volume there. We would expect that to improve next year, but not getting back to full levels. Just to give you some color around that.
Ashish Agrawal: Karl, more than – I mean, cancellations, not really. It’s more the reduction in market expectation that’s driving the impact on our revenue.
Karl Ackerman: That’s helpful. Thanks. You’re implied a similar quarter guide, a little over $110 million and $0.37, the midpoint would really suggest a healthy uptick in gross margins or strong reduction in OpEx. But it sounds like in your prepared comments, pro forma gross margins for Q3 were closer to 35%. That appeared to not be explicitly exclusive from non-GAAP gross margin, some of the inventory step-up. So maybe we shouldn’t expect much of a mix shift change in Q4. Regarding the OpEx improvement initiatives you outlined in your prepared comments, is that related more toward headcount? Or is that more a mix between facility and headcount? How do I think about the contributions of OpEx initiatives you’re doing in Q4? And how to think about that going forward?
Kieran O’Sullivan: Yes. So you did start out with the gross margin and taking the one-time impacts out. I will tell you that, that’s a good view. The other piece is the improvements we’re seeing in their foundry are moving along and we have more work to do there. And then as we move forward, the – what was the second part of the question?
Ashish Agrawal : The gross margin – the actions that we are taking.
Kieran O’Sullivan: The actions we’re taking, Karl, are pretty standard in terms of how we run our business. We are careful on our OpEx expense. We may have open headcounts we’re not filling, but we are still driving our strategic growth plans. We’re just diligent about things on the variable cost when we got softness as well. We really hone in on that variable part of the cost structure and then prioritize for our fixed cost and headcount.
Karl Ackerman: Thank you, I will see the floor.
Operator: We’ll take our next question from John Franzreb with Sidoti & Company.
John Franzreb: Good morning, guys. Can you just frame the commercial vehicle side of the business? How much of that was of revenue in 2018? And how much do you expect that to be at the end of 2019?
Kieran O’Sullivan: John, probably the best thing to do is just look at our filings in there. We talk out the percentage of – with each of our customers, now to give you a good indication of where our commercial vehicle revenues are. It’s a little bit of down almost high single digits in the quarter. And we’re trying to get good hands on where it’s going for the first half of next year. If you look at the Class 8 Trucks, you can see from the market conditions out there, there’s a decline and there’s a buildup of inventory. On the midrange, where we have lowered our volume that’s something we’re kind of trying to get a better picture on it. It’s been a little bit more stable.
John Franzreb: I’m hearing that the Class 8 Truck downturns typically last on average 1.5 year. Is that the kind of expectation you’re thinking? Or do you think you have market share penetration that kind of offsets the kind of a downturn?
Kieran O’Sullivan: Well, John, we definitely will have softness that we’re managing through in the first half of next year as we said in the prepared remarks. And on the other side of it, we’ve also said we’re adding a second customer in the second half of next year.
John Franzreb: Okay. And just wondering a little bit about the – I didn’t probably catch this right, Kieran. When you talked about the $0.03 to $0.04 in EPS improvement, 12% on annualized basis. Can you just revisit those remarks and clarify what you’re talking about there?
Kieran O’Sullivan: Well, I’ll start off and I’ll let Ashish add some color here as well. So in the fourth quarter, we said we’d be taking actions and improve margins and operational expenses to improve by $0.03 to $0.04 of EPS. And next year, at a similar sales run rate that would be 8% – $0.08…
Ashish Agrawal: $0.08 to $0.12.
Kieran O’Sullivan: $0.08 to $0.12. So as we said earlier, we’re prioritizing our variable cost and addressing it where the volume is unchanged. We’re prioritizing our fixed cost and our headcount where we see the most opportunities to give you some color around that. Ashish?
Ashish Agrawal: Yes. John, the run rate that you are thinking of, some costs will be contained in the longer term, some will be shorter term in nature. So that’s where the $0.03 to $0.04 doesn’t translate exactly on an annual basis. But we’ll continue monitoring the market conditions and adjust our cost base to reflect the environment that we are operating in.
John Franzreb: Okay. So just so I understand better, these are new actions and don’t relate to any expectation of improvement in the gross margin from the absence of the step-up to QTI and I guess the product replacement thing that you just had. So that’s – in addition to, not including those guidance.
Ashish Agrawal: That is correct, John. We are adjusting our operating expenses as well as, as Kieran mentioned, variable and fixed cost on the production side to reflect the current market condition.
John Franzreb: Got it. I understand. That helps a lot, Ashish. And I guess, lastly on the ceramics foundry. I’m just curious what the time line is to getting that fully operational to your expectations?
Kieran O’Sullivan: Yes. We would – John, we made progress in the last quarter. We would continue to make progress into the fourth quarter. And I think you’ll see things normalized in the first half of next year.
John Franzreb: Okay. Got it. And I guess one last question on that $55 million reduction from backlog. I thought the backlog extended beyond two years, Kieran. So I’m kind of trying to reconcile the $1.86 billion and the $55 million reduction and how that – what’s the time line of that expectation of the revenue reduction. Can you kind of walk me through how we should be thinking about that?
Kieran O’Sullivan: Yes. No. Good question, John, because we do not see any significant impact beyond 2020 in the backlog. When we look at it, some contracts that we have are two years, so if we’re seeing softness this year, we’re adapting it for next year as part of that $55 million. And the same would go – some of that is in ceramic, some of that is in transportation. So we’ve got a very clear picture of how we adjust to that.
John Franzreb: Got it. All right. Thanks guys. I’ll get back in the queue.
Operator: [Operator Instructions] Our next question comes from Hendi Susanto with G. Research.
Hendi Susanto: Good morning, Kieran and Ashish. Would you walk us through, again, on how things deteriorate in particular its linearity in Q3? And would you clarify how long these weakness will last when we see like different markets? I think you mentioned that the weaknesses may last to 2020, but you can give like more colors on different markets. I think that will be helpful.
Kieran O’Sullivan: Yes. The main deterioration, Hendi, was in the actuator product line, commercial vehicle. It was high single digits. We expect that to continue through the first half of next year. And beyond that, we don’t have the kind of a key line of sight at this stage. So that’s where it was. And then on the other side of things, we’ve got a good acquisition here that’s got nice growth potential as we expand it outside of North America into Europe and Asia. And on the ceramic side of things, we’ve had one or two customers that have had a tough year here because of tariffs. And we think they’re going to start to pick up as we move into the second quarter next year, which should see improvements there.
Hendi Susanto: Got it. And then you also mentioned inventory burn-off at distribution. I would assume that inventory burn-off started long before Q3. So I will appreciate any additional insight and whether there’s any indication how much longer inventory burn-off can continue? You alluded inventory burn-off at industrial markets, but I’m not sure whether that’s the only one. So can you share some colors there?
Kieran O’Sullivan: Yes. Just for the distribution side of it, we’ve seen a gradual decline in inventories. It usually takes somewhere from the peak of inventory to three quarters to four quarters. We think that’s going to be somewhere between the end of first quarter, second quarter of next year where we get back to normal levels.
Hendi Susanto: Okay. And then for QTI, is it reasonable to assume that because of the trade tensions, the potential growth may be somewhat delayed?
Kieran O’Sullivan: We haven’t seen any significant trade implications there. It’s a very solid business, very good quality of earnings and nice growth and we look at it as a platform where we can build out once we’re through integration, expand at our existing sales teams and product teams in Europe and Asia and actually expand into other end markets as well. We really like the technology. We can leverage our ceramics capability to improve the performance as well. And it’s a platform we will continue to build out.
Ashish Agrawal: And Hendi, Kieran talked about three new customers that, that business has added in the last quarter. So they are continuing to do a good job in terms of driving growth within their own business. And we’ll be looking to leverage that as we move forward.
Hendi Susanto: Okay. And Ashish, with regards to the cost measures, you talk about the $0.03 to $0.04 on a quarterly basis. In terms of when the cost saving will take place, should we assume some lag, let’s say, like one to two quarters?
Ashish Agrawal: So Hendi, the $0.03 to $0.04 improvement is intended for the fourth quarter. And these actions will help us improve margins and operating expenses into 2020 as well. And that’s where we were saying the annualized impact is expected to be in the range of $0.08 to $0.12.
Hendi Susanto: Got it. Okay. Thank you Ashish, thank you Kieran.
Operator: And it appears there are no further questions at this time. I’d like to turn the conference back to Mr. O’Sullivan for any additional or closing remarks.
Kieran O’Sullivan: Thank you all for your participation on today’s call. So we’ve had a tough quarter. It’s time to get back to work here and make the progress we need to make that we outlined in our call. We look forward to updating you in the first quarter of next year. Thank you.
Operator: And that does conclude today’s conference. We thank you for your participation. You may now disconnect.